Operator: Good day, ladies and gentlemen, and welcome to the Inuvo 2021 First Quarter Financial Results Conference Call. Please note today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Valter Pinto, Managing Director of KCSA Strategic Communications. Please go ahead, sir.
Valter Pinto: Thank you, operator, and good afternoon. I'd like to thank everyone for joining us today for the Inuvo First Quarter 2021 Shareholder Update Conference Call. Today, Inuvo's Chief Executive Officer, Richard Howe; and Chief Financial Officer, Wally Ruiz, will be your presenters on the call. I would also like to remind our shareholders that we anticipate filing our 10-Q with the Securities and Exchange Commission this evening. Before we begin, I'm going to review the Company's safe harbor statement. Statements in this conference call that are not descriptions of historical facts are forward-looking statements relating to future events and as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Inuvo are as such, a forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at sec.gov. With that, I'd now like to turn the call over to CEO, Richard Howe.
Richard Howe: Thanks, Valter, and thanks, everyone, for joining us today. We have a lot of great information to share. For the three months ended March 31, 2021, we delivered roughly $10.6 million in revenue. Now advertisers do tend to delay their media budget allocations until the start of the second quarter, at which time they tend to accelerate their spending into the second half of the year. And as a result, the first quarter of the year for our business is typically seasonally our softest quarter. Revenue in Q1 of this year was down 18% sequentially as a result of this seasonality, which is very much in line with our historical experience for Q1 revenue coming out of Q4 in a prior year. Of this $10.6 million that was delivered, our ValidClick platform contributed $8.5 million, which remains down as a result of COVID year-over-year by 35%. However, the gap between ValidClick's pre-pandemic and post-pandemic performance is closing quite rapidly. The platform has had a 9% monthly compounded growth rate through March of 2021 off of its low, which was in May of 2020. As we have guided previously, we do expect ValidClick to return to its 2019 pre-pandemic average monthly revenue run rate of approximately $4.4 million within 2021. And then we expect it to grow thereafter. More on ValidClick later in the conference. The IntentKey platform contributed $2.1 million of revenue in the quarter, growing 15% year-over-year. And we would expect this product line to continue its double-digit growth rates year-over-year for this foreseeable future. Gross margins for the business were up roughly three percentage points on a sequential basis and 9 percentage points year-over-year within the overall business with ValidClick's continuing improvement being a contributor to that improvement. Adjusted EBITDA improved 36% on a year-over-year basis with a loss of roughly $878,000 in the quarter, which was expected given the seasonality and the continuing post-pandemic recovery of the all the ValidClick business -- of the ValidClick product. As we have guided previously, we would expect adjusted EBITDA to return to positive within the second half of the year on the back of the growth rates within each product and the returning advertising market post-pandemic. Our balance sheet remains strong with roughly $17.8 million of cash, $16.8 million of net working capital, and we have no debt. For the second quarter of 2021, year-over-year, we are expecting revenue to grow in excess of 50% with both the IntentKey and ValidClick platforms contributing to that growth. Let me now provide some additional insights for each of the product lines, and I'll start with the IntentKey. In the first quarter, on average, we performed 48% better than our clients' goals, which is a continuation of the incredible results that we've delivered within this product line for the better part of the last 18 months as the IntentKey growth has accelerated. We put out a number of press releases in the quarter that highlight the outstanding performance we are seeing within the client base. We had 81 campaigns operational in the first quarter, which was down roughly 4% from the seasonal high fourth quarter 2020 campaign total of 84. Of the 81 campaigns, 18 were new ones and 63 were renewals. Hiring within the IntentKey to support sales has continued throughout the first quarter. In fact, we now have 18 people in sales, account management and sales support roles. And that includes two recent hires within Canada to support an expansion north. Montreal and Toronto are within driving distances of one another and are home to Canada's largest corporations and have a combined population of roughly 10 million people. Now the IntentKey will be one of few platforms capable of meeting these Canadian companies online advertising needs, both domestically and within the U.S.A., particularly as the cookie-less future approaches, more on that shortly. Product marketing activity has been robust in the first quarter, with a focus on the expansion of external materials for prospecting and internal training programs and materials for all of our new employees. Responding to RFPs remains an important function of this team. Where we have seen that number of RFPs to date increase by 40% and our win rate on those RFPs has improved 43%. And this is -- both of these percentages are on a year-over-year basis. As our sales team and support structure has evolved, so in turn, has our sales cycles, where we are now experiencing deal closings within 90 days. And this is down from roughly 180 days over the last year period. Now this increase in demand is being reflected in the new clients we're signing up and the pipeline, where opportunity looks good for both the managed service and the SaaS versions of the product. The latter, as you will remember, only having been launched for sale at the end of the first quarter. Among our recently signed clients, were two of the world's most respected technology companies, one of which is in the CRM software business and the other an e-commerce platform. The IntentKey platform is now being used across all the advertising channels supported by the software, including display, video, native, connected TV and streaming audio. We are signing up both business-to-consumer and business-to-business clients. Increasingly, we have clients where the IntentKey is actually solving multiple challenges. Our casino client, for example, is, of course, using the IntentKey to attract audiences to their venues. However, with the tremendous success that casino has had and a shortage of qualified workers, they are now also starting to use the IntentKey to help with their recruitment of table game dealers, and they are not the only client where we have this interesting dual-value proposition. Deals are coming in across various industry segments. Among the business closed in the quarter with a tourism deal with one of the largest states, multiple CBD clients, a brewery, a casino and a number of technology companies. We now believe Inuvo has, in a way, a perfect storm opportunity, in part because the post-pandemic economy is forecasted to be strong, which typically leads to larger media budgets and because the third-party cookie is going away, which will significantly hinder the performance and scale of most of our competitors. The best way to understand the cookie issue and its disruptive impact on the competitive landscape is to appreciate that modern digital marketing was created around the identity of a consumer. The data and methods used by the majority of marketing and advertising technology and service providers revolves around prospecting for new clients based on who they are. This means targeting around things like income and age and gender, interests and the like, which is exactly the issue, the elimination of the cookie is designed to resolve. To adapt to this new reality, we'll require that these companies significantly reengineer their business models as the cookie is, in fact, a mechanism that allows this kind of who-based prospecting to actually work. We see the countdown for these companies approaching quickly and if similar disruptive technological events are the indicator, these companies are likely to lag in terms of meeting the needs of the future marketplace, both in their ability to scale and to perform. This is often referred to as the Innovators' dilemma. Conversely, Inuvo could not be better positioned for this upcoming disruption. The cornerstone of our artificial intelligence approach is not about the who, but rather the why behind the purchase of a product or service. Our AI really cares not who someone is. It cares only about the reasons behind why a product or service was actually purchased. This is an important distinction, which should be coupled with the reality that unlike our competitors, we neither use nor require any third-party data, which is the backbone of the conventional who-based approach used universally across our industry. This ability to know why without third-party data is the essence of our differentiation associated with the artificial intelligence and the reason we are poised for success leading into 2022 when these disruptive changes become a reality. We've been running cookie-less campaigns for the better part of the last 12 months without degradation of performance. Every single corporation in America is right now trying to figure out how to deal with this ensuing issue. There is a solution for these companies, and it's called the IntentKey. All we have to do is get the word out, which is what we are doing through sales, marketing and PR. Turning now to ValidClick, where, as I mentioned earlier, we have seen a strong 9% compounded monthly growth rate since the COVID low in May of 2020. As we have also mentioned previously, the pandemic was, in fact, a catalyst for reengineering the ValidClick service. And in the best of ways, has allowed us to also design into the platform, various content, technology and services that are cookie-less future ready. Throughout 2020 and into 2021, we have focused on the quality of content within our owned and operated websites. This, in turn, has provided a better consumer engagement experience, which in turn is yielding better results for advertising clients. In a cookie-less world, the quality of the content will become more valuable because, as we described earlier, within the IntentKey summary, advertisers will no longer be able to prospect for audiences based on who they are, which will invariably lead them towards the selection of content as the match for their product or service. Diversification of advertisers has also been an important component of the post-pandemic ValidClick. And in this regard, we have expanded the number of relationships we have both directly and indirectly as a way to gain access to these advertisers and a means of ensuring the platform generates the best payouts and margins for Inuvo. We, of course, continue to maintain increasingly rare and valuable relationships with the largest search engines on the planet, having renewed our largest partner relationship in the first quarter. All of these channels to advertisers make ValidClick less vulnerable to systemic changes, like the elimination of the third-party cookie or Apple's iOS privacy changes. With that, I'd like to turn the call over to Wally for a more detailed assessment of our financial performance within the quarter. Wally?
Wally Ruiz: Thank you, Rich. Good afternoon, everyone. I will recap the financial results of our first quarter of 2021. As Rich mentioned, Inuvo reported revenue of $10.6 million for the quarter that ended March 31, 2021. This compares to $14.9 million reported in the first quarter of last year. The decrease in this year's revenue is due to lower ValidClick revenue, which in the first quarter this year was $8.5 million compared to $13.1 million in the same quarter last year. This lower ValidClick revenue was due to the pullback in advertising budgets at the onset of the pandemic which had not fully recovered by this year's first quarter. In spite of reporting lower year-over-year revenue, ValidClick's recovery began in June following May's low. And by March 31st of this year, was up over 140% of that low, of that May low. IntentKey revenue was 15% higher in the first quarter this year compared with last year. The IntentKey represented 20% of the overall first quarter revenue this year, and that compares to 12% of all the revenue in the first quarter of last year. As the IntentKey platform revenue has become a greater percentage of overall revenue, the components of the cost of revenue have shifted. Cost of revenue in the 2021 period is primarily generated by payments to add exchanges that provide access to a supply of advertising inventory where we serve advertisements using information predicted by the IntentKey. And to a lesser extent, payments to website publishers and web developers that host advertisements we serve through ValidClick. The cost of revenue last year in 2020 was primarily generated by payments to website publishers and app developers that host advertisements have served this ValidClick, so there was a shift in the components of the cost of revenue. Inuvo gross margins increased in the first quarter to 86% compared to 77% in the same quarter last year due primarily to the shift in cost of revenue that I was just mentioning, where payments to website publishers and web developers that host advertisements that we serve through ValidClick have declined, thus reducing the cost of revenue and increasing margins. The IntentKey gross margins were 42% in the first quarter. Going forward, we expect IntentKey gross margins to increase as the launch of the SaaS version in Q1 begins to develop, delivering clients whose margins are expected to be significantly higher as a result of mostly fixed costs associated with operating just the AI, the modeling and the data generation components of the IntentKey platform. Operating expenses were $11.8 million in the first quarter of 2021 compared to $14 million the prior year, a decrease of $2.3 million. The largest component of operating expenses, marketing expenses. Marketing costs are predominantly traffic acquisition costs associated with ValidClick. It is the largest expense associated with the ValidClick platform. Marketing costs were $7.3 million in the first quarter compared to $9.6 million in the same quarter last year. The $2.3 million lower expense this year compared to last year is primarily due to the lower ValidClick revenue. Compensation expense was $2.7 million in the first quarter this year compared to $2.3 million in the prior year, primarily due to higher stock-based compensation expense this year. And to a lesser extent, to higher employee salary costs. Our full-time employment was 73 at March 31 of this year, and that compares to 64 at March 31 of last year. The majority of the increase in head count occurred within sales, sales support and account management for the IntentKey was complemented by the hiring of traffic acquisition professionals within ValidClick to support a strategy to bring the function in-house. Selling, general and administrative expenses decreased $334,000 in the first quarter of this year compared to the same quarter last year due primarily to $197,000 lower IT costs, where we consolidated our computing facilities to two data centers and to $56,000 in lower travel and entertainment expense, $87,000 lower depreciation and amortization expense and to a $60,000 reversal of a reserve for liability that had been satisfied. While these savings were partially offset by higher professional fees that is -- what caused it was the public offerings that we had in January of this year. Net interest expense was $22,000 in the first quarter of this year compared to $152,000 expense in the same quarter last year. We had other income of $470,000 in the first quarter of this year, primarily due to a licensing agreement from the first quarter last year that terminated and all the revenue deferred from that contract was recognized in this quarter. We reported a net loss of $2.1 million or $0.02 per basic share compared to a $2.8 million net loss last year or $0.05 per basic share. The adjusted EBITDA in the quarter ended March 31, 2021, was a net loss of $878,000 compared to a loss last year of $1.4 million, an improvement of about 36%. On March 31 of this year, we had cash and cash equivalents of $17.8 million and a net working capital of $16.8 million. In addition, we have a $5 million working line of credit, which currently has no outstanding balance. We maintained a simple cap structure with only common stock and employee restricted stock units through an equity incentive plan. In January, we completed two underwritten public offerings for 19 million shares of common stock. We raised $14.25 million on a gross basis and gross proceeds. These additional funds are being used for working capital, building the IntentKey sales force and facilitating the acquisition strategy, which we discussed at the last quarter call. With that, I'd like to turn the call back over to Rich for closing remarks. Rich?
Richard Howe: Thanks, Wally. Now in spite of our seasonally soft first quarter, the ValidClick platform for the month ending in March 2021 was up 140% from its pandemic-induced low point in May of 2020. And as I mentioned in my original call notes, our largest partner within the ValidClick platform was renewed in the quarter for an additional two-year term. The IntentKey continues to produce remarkable performance for our clients. And of course, it grew 15% year-over-year. It has an expanding client base, a strong pipeline and really could not be better positioned for the disruption coming in 2022 when cookies go away. I simply cannot emphasize enough how well positioned we are for winning market share, leading into and after this industry transition. We expect the IntentKey platform to be up roughly 45% year-over-year in the second quarter. For Inuvo, we expect our second quarter to be strong with year-over-year growth of over 50%. We expect to be back to EBITDA -- adjusted EBITDA positive contributions within the second half of the year. And as Wally pointed out, our balance sheet remains strong with $17.8 million of cash, which we anticipate putting in part to work through an acquisition within the 2021 calendar year as we continue to explore suitable candidates. With that, I will now turn the call back over to the operator.
Operator:
Richard Howe: Thanks, Holly. And I'd just like to thank everyone who joined us today, and we appreciate your continued support in our company.
Operator: Thank you so much. And that does conclude our conference for today. We thank you for your participation.